Operator: Good day and welcome to this Toll Brothers first quarter 2007 earnings release conference call. (Operator Instructions) I will now turn the call over to Mr. Robert Toll, Chairman and Chief Executive Officer. Please go ahead, sir.
Robert Toll: Welcome, everybody and thank you for joining us. With me today are Joel Rassman, Chief Financial Officer; Fred Cooper, Senior Vice President of Finance and Investor Relations; Joe Sicree, Chief Accounting Officer; Kira McCarron, Chief Marketing Officer; and Greg Zigler, EVP of Finance. Before I begin I ask you to read the statement on forward-looking information in today's release and on our web site. I caution you that many statements on this call are based on assumptions about the economy, world events, housing and financial markets, weather and other factors beyond our control that could significantly affect future results. Those listening on the web can email questions to rtoll@tollbrothersinc.com. We'll try to answer as many as possible. We've just announced first quarter results for fiscal year '07, first quarter. Fiscal year '07's first quarter net income was $54.3 million, or $0.33 per share diluted compared to fiscal year '06 first quarter record of $163.9 million or $0.98 per share diluted. In fiscal year '07 first quarter net income was reduced by pre-tax writedowns of $96.9 million, $59 million or $0.36 per share diluted after tax. Plus $9 million, $0.03 per share after tax diluted, goodwill impairment charge related to our 1999 acquisition of the Silverman Companies in metro Detroit. In fiscal year '06, first quarter pre-tax writedowns totaled $1.1 million or less than $0.01 per share diluted after tax. Fiscal year '07 first quarter earnings per share, including write-downs, declined 66% versus fiscal year '06. Excluding writedowns fiscal year '07's first quarter earnings per share were $0.72 diluted, down 27% versus the same period in fiscal year '06. Fiscal year '07 first quarter total revenues were $1.09 billion, a decline of 19%, compared to the first quarter record of $1.34 billion in revenues in fiscal year '06. Fiscal year '07 first quarter end backlog was $4.15 billion, a decline of 30% compared to the first quarter record of $5.95 billion in fiscal year '06. Fiscal year '07 first quarter net signed contracts were $749 million, a decline of 34% compared to fiscal year '06 first quarter total of $1.14 billion. We signed 1,463 contracts before cancellations in fiscal year '07 first quarter, a 14% decline from the 1,695 signed in fiscal year '06 first quarter. Net of cancellations, first quarter contracts totaled 1,027 units, down 33% from 1,544 in the first quarter of fiscal year '06. First quarter fiscal year '07 cancellations totaled 436 units versus 585 units in fourth quarter fiscal year '06. Fiscal year '07's first quarter cancellation rate of 29.8% was lower than the 36.9% cancellation rate in fourth quarter '06; however, it was still well above the company's historical average of about 7%. In response to current market conditions, we continue to reevaluate and in some cases renegotiate or optioned land positions. As a result of this ongoing review, we ended fiscal year '07 first quarter with approximately 67,500 lots under control, compared to approximately 73,800 lots and 83,200 lots at fiscal year end '06 and fiscal year end '05 respectively. Our fiscal year '07 first quarter end total was 26% below our high of approximately 91,200 lots at fiscal year '06 second quarter end. There are too many soft markets at this stage of the selling season to call a general upturn in the new home market. Demand varies greatly from week to week in individual markets. The metro New York City high-rise market offers a glimpse of what one might expect when consumer confidence rebounds. An article in Monday's New York Times described multiple bids on properties that have been on the market for less than a week. The New York City market is somewhat unique, in that it did not markedly decline to the degree most other markets have in the past 12 to 18 months. It did experience some softness in the second half of '06 due to consumer concern about the direction of home prices, but this concern appears to have dramatically reversed itself starting in January of '07. We believe that pent-up demand is building in many markets as potential buyers bide their time until they are confident prices have firmed. Our financial strength was recognized this quarter by all three of the credit rating agencies that monitor our industry as Fitch, Moody's and Standard and Poor's each reaffirmed it's investment grade credit ratings for Toll Brothers. We ended our first quarter with $1.1 billion unused and available under our bank revolving credit facility with nearly $450 million in cash and a net debt to capital ratio of 33.4%. In the current challenging environment, we believe our access to reliable capital and our strong balance sheet gives us an important competitive advantage. Based on our experience during past cycles, we have learned that unexpected opportunities may arise in difficult times for those who are well prepared. We believe that our solid financial base, our broad geographic presence, our diversified product lines, and our national brand name all position us well for the future. Now let me turn it over to Joel.Joel Rassman: Thank you, Bob. During the quarter we delivered 1,559 homes at an average price of $676,200 resulting in traditional home building revenues of $1.054 billion. First quarter cost of sales at 71.1% before interest and writedowns was approximately 340 basis points better or lower than the middle of the range of 74.5% without writedowns and interest of our December guidance, as we benefited from a much richer mix of closings. Writedowns were $96.9 million compared to our budget of $10 million and last year’s first quarter write-offs of $1 million. As a result of these higher writedowns, cost of sales for traditional housing at 80.3% of revenues was higher than the middle of our range of December of 75.3%. Writedowns for this quarter included $13.9 million related to options and $83 million related to community zoned. More than two-thirds of the writedowns were attributable to communities in Florida and Minnesota and one condo-convert community in Maryland. As we discussed in the past, accounting for writedowns is a two-part process. First we have to determine whether the net future revenues over future course is greater than our current basis. This can be complicated, especially for larger communities where we estimate not only future selling prices in places, but where a decrease in estimated tastes may result in a number of years of communities open and an operation increasing, thereby increasing projected overheads. This first test is done every quarter. If the first test results even in $1 of loss, then an additional set of calculations is done. The second set of calculations, we present value all future estimated revenues and costs and then compare the net present value to the company's current basis. Obviously, many estimates including sales prices, incentives, paces, costs and overheads all go into these estimates. Adjustments are made quarterly to these estimates. Change in circumstances, such as a need for more incentives or slower annual sales paces can result in a community needing a writedown when we test it, even if it didn't at an earlier date or could result in an additional writedown on a community which had previously had a writedown. In addition to writedowns on communities we own, we look at all of our option agreements every quarter. Most of these options are for parcels of ground we control while pursuing approvals. Each quarter we evaluate the probability of success of obtaining the required approvals, and if the approvals are obtained the probability we will choose to acquire the land. We attempt to renegotiate options that do not make business sense to close but sometimes when a seller will not renegotiate or make adequate concessions, we writedown our investment. In addition to community and option writedowns as a result of the weak market conditions in the Detroit suburbs, the company has written off approximately $9 million of goodwill associated with the acquisition of Silverman Homes. This amount is included as a separate line item of expense in our financial statements. Net profits from percentage of completion revenues at $7.2 million were lower than the December guidance of $11.2 million, principally as a result of lower revenues caused by slower construction. Net profits from land sales at $2.4 million was approximately $2 million higher than our previous guidance. Interest expense at 2.1% of revenues equaled our guidance. Expenditures for SG&A of $134.2 million were only slightly higher than the low part of our guidance. However, since revenues were lower than estimated, SG&A at 12.3% of total revenues was higher than the top of our range of 11.9%. Other income of $29 million was $10 million higher than estimated as we had more cash invested due to fewer land purchases and higher earnings from retained deposits on cancellations. This quarter’s other income included a $9.5 million gain on the sale of some assets, which was included in our previous guidance. In addition, joint venture income of $6.8 million was higher than the $5 million of guidance as we settled more units in our condo convert in our joint venture in Hoboken than we had estimated. The effective tax rate was 37.7% for the quarter, lower than the 39% principally as a result of higher tax-free income from investments. For purposes of diluted EPS, the average number of shares 164.2 million approximately equal to our guidance. The result of all of the above is that net after tax earnings of $54.3 million or $0.33 a share was below the bottom of our range of earnings estimates of $85 million or $0.52 a share. In the current environment, giving any annual guidance is difficult. Quarterly guidance, obviously, is even harder. We believe, however, that providing some educated guidance, even with its uncertainties, is still better than no guidance. Accordingly, we have filed an 8-K and put on our web site detailed guidance for the remainder of 2007 in an attempt to give you our best estimates. We suggest you access that guidance to assist you in modeling. We continue to review our guidance throughout the year and adjust guidance, if necessary, in future conference calls. We normally do not, nor do we currently intend to, update earnings guidance in between conference calls. In order to assist you in creating your annual and quarterly guidance, I highlight some information we believe you should consider. We expect deliveries for the year to be between 6,000 and 7,000 homes, a decrease of 300 homes from our previous guidance of 6,300 to 7,300 homes. We expect the average delivery price of between $670,000 and $680,000 an increase of $10,000 from our previous guidance. We expect deliveries in the second quarter to be between 1,450 and 1,750 homes at an average price of $670,000 to $680,000 and a cost of sales between 25.75% and 26.5%. Deliveries in the third quarter are expected to also be between 1,450 and 1,750 homes at an average price of $665,000 to $675,000 with a cost of sales between 77.5% and 78.75%. Delivery in the fourth quarter are expected to be between 1,550 and 1,950 homes and an average sales price of between $670,000 and $680,000 with a cost between 78.25% and 79%. The cost of sales estimates include $20 million of writedowns in each quarter, although, of course, the actual writedowns can be larger or smaller than these amounts. We project the percentage to completion revenues of between $70 million and $75 million in the second quarter, $40 million and $45 million in the third quarter, $35 million and $40 million in the fourth quarter with a cost of sales of approximately 75%. Future land sales will be minimum approximately $1 million each quarter, with an 80% cost of sales. Interest expense is expected to still be around 2.1% of revenues. We estimated SG&A to be between 11.3% and 11.8% of revenues in the second and third quarters and between 10.4% and 10.9% of revenues in the fourth quarter. We project other income of $10 million in the second quarter and approximately $5 million in each the third and fourth quarters. And joint venture income to be $6 million in the second quarter and approximately $5 million in each the third and fourth quarters. We are using 165 million sharing outstanding to the calculation of EPS for each quarter. The result of the above is that EPS for the second quarter is expected to be between $0.43 and $0.57 per share, in the third quarter to between $0.33 and $0.45 per share, and for the fourth quarter between $0.36 and $0.50 per share resulting in earnings per share for the year of between $1.46 and $1.85. At this point, I'd like to turn it back Rob.
Robert Toll: Thank you, Joel. Cecilia, do we have any questions?
Operator: (Operator Instructions) Your first question comes from Stephen Kim - Citigroup.
 Stephen Kim – Citigroup: Hi guys. I was wondering if you could comment on your SG&A guidance going forward? Can you remind us why you’re looking for elevated rates of SG&A, and when you think that may turn back down and see numbers more in the high, high single-digits like we’ve been accustomed to?
Robert Toll: Sure. We have lower volumes. Some of our SG&A is fixed costs and some of our SG&A are variable costs, and as a result of lower volumes and costs that have already been capitalized in some cases, we would expect that that number will stay high for the next year and then if revenues and volumes increase in the subsequent year, we would expect to see those percentages go down.
 Stephen Kim – Citigroup: The second question I had relates to your cancellation rate. Obviously that’s something that pretty much caught us off guard over the last couple of quarters -- I think yourselves as well -- and at this point because I think that’s already reflected in your results now, obviously what I think the question is going forward is, hang time. How much longer can these can rates remain at multiples of historical levels? My presumption is it couldn’t be very long. Am I wrong in thinking that? Is there any data to give us to give color around that?
Robert Toll: About the only indication I can give you, Steven, is that we had a total of 55% of our can rates from agreements that are more than a year old. 173 that were from one year to one-and-a-half years and 53 from agreements that were more than one-and-a-half years old. Presumably as we catch up with production and shaking out those agreements that were entered into during the absolute top of the cycle or near there to, the can rates should go down. Of course read your prospectus carefully. No representation is made here, but that’s just an observation that I think will apply not only to Toll but to most. I think basically what happened was we all were fooled by the great number of investors that we weren’t selling to that showed up when it came time to close and who walked instead of closing.
 Stephen Kim – Citigroup: Interesting. That’s very interesting. Do you happen to know how many units in your backlog you have left that would meet those criteria?
Joel Rassman: Our average backlog is over 10.5 months so we have a lot of stuff that’s still old, but I can’t tell you what the average is now.
 Stephen Kim – Citigroup: And every year, every quarter that we go by of course puts the peak in the market further and further behind you. All right, I appreciate that.
Operator: Your next question comes from Dennis Yung - Credit Suisse.
 Dennis Yung - Credit Suisse : Bob, just kind of thinking bigger picture, just wanted your perspective on the land market coming out of the early ‘90s there was a lot of property put back to the RTC and buyers like yourselves that were well-capitalized benefited from that as the cycle came out of the downturn. Do you see a similar type of environment with land sellers over the next year or two that could provide an opportunity or are land costs going to be more stable this time around making it difficult to buy on the cheap?
Robert Toll: The latter I hope. The market was mad at the end of ‘87. The new Fed Chairman named Greenspan who came in raised interest rates precipitously, the stock market took a terrible tumble and things were bad from the end of ’87; as a matter of fact, it was October of ‘87 on until we just began to sell in ‘91. So you had a pretty long time there, almost four years, but even the market was getting better in ‘91, ‘92, and bear in mind this was rolling. The market just started to go bad in California as the market was just starting to recover in the northeast and mid-Atlantic states. So you had banks that weren’t going bad disgorging after a four-year period. We went down in Katrina ‘05, so you were about a year-and-a-quarter to a year-and-a half now, and the immediate pain wasn’t felt. It wasn’t known until about three months after Katrina. Though you haven’t been that long into the cycle for things to go as bad, so I want to watch what I wish for. We are seeing some opportunities now, but not nearly the number of opportunities that we saw in ‘90, ‘91 and ’92. I would hope that we don’t get to that point.
 Dennis Yung - Credit Suisse : So if I’m interpreting you right, it kind of sounds like it’s still in a wait-and-see approach?
Robert Toll: Sure. The land speculators and owners who are banked haven’t felt enough pain yet to be disgorging so much that you’ve got an oversupply and drop in price. There are definitely some deals out there, but not nearly what you saw in the prior down cycle.
 Dennis Yung - Credit Suisse : If land prices like you say do stabilize either because banks or holders are better capitalized or the market turns up, does that imply that the normalized return of the business isn’t as robust as it may have been benefiting from that cheap land before?
Robert Toll: That’s probably accurate. The land became so cheap that when you got your hands on it in ‘89, ‘90, ‘91, ‘92 by the time you brought it to market you had pretty great margins. Those margins were pretty much eaten up by ‘97. What you’ve been seeing for the last ten years doesn’t reflect the margins from the RTC fallout.
 Dennis Yung - Credit Suisse : That’s very helpful, Bob. Just a couple of clean-up numbers, Joel, if you have them in front of you there. The other third of the writedowns, were those pretty well scattered?
Joel Rassman: They were scattered around the country in different states, but you can say Detroit had some additional writedowns and some other communities elsewhere.
 Dennis Yung - Credit Suisse : And do you have the absolute number of specs both this year and the year-ago quarter both completed and started?
Joel Rassman: Traditional is 1233 specs versus about 700 or 800. We have 1233, but I don’t remember what it was last year.
 Dennis Yung - Credit Suisse : And that’s traditional?
Joel Rassman: Well, you can’t use high rise or anything.
 Dennis Yung - Credit Suisse : That’s all for us. Thanks.
Operator: Your next question comes from Dave Bogart - UBS.
 Dave Bogart – UBS: I was wondering, it appears that the tone in the release this morning was different than the tone of the pre-conference release two weeks ago. Is that a misinterpretation or have things changed?
Robert Toll: The only things I can think of is California I remember were a bunch of As, and we would now rate California as a B and a B plus. On the other hand, New York as I mentioned in the monologue got even stronger, the New York suburbs got even stronger, so, no, I don’t think there is that much of a difference.
 Dave Bogart – UBS: So your general take on how things are playing out through the selling season is there hasn’t been much change in the last couple weeks? It’s been stabilizing?
Robert Toll: I would say we’re a little more disappointed than we were two weeks ago because the top selling weeks of the year for the new home business are the weekend that runs into President’s Day week and then the following weekend which we have coming. For President’s Day weekend, we had good sales but we didn’t have anywhere near the bump up that we normally see. So that’s disappointing.
 Dave Bogart – UBS: My second question, I was wondering if you could talk about -- and maybe Joel you can give some more detail -- on how you guys arrive at the unit delivery guidance? It would seem like with a pretty large backlog in terms of months of closings and that would give you more visibility; the delivery guidance seems to change pretty frequently. Maybe you can just talk about how you arrive at that and what’s causing the changes? Is it just higher cancellations and how that kind of affects the land pipeline?
Joel Rassman: Cancellations continued to be a little higher than we would have liked and we built that into the future model. In addition, we had a little bit less probably net as a result of the cancellations, net contracts signed in the first quarter than when we talked about it at the year end what I was building into my model and that worked itself in, so the net effect is I took about a hundred units away from each quarter; it didn’t quite come that way but that’s basically what I did. We backed into total guidance using five or six different sets of metrics, and you still could get to higher numbers and lower numbers that I gave you, but if you look at the bell shape curve it’s about what I gave you. It’s the bulk of the bell shape curve.
 Dave Bogart – UBS: So what’s the effect on the land pipeline if you’re continually lowering your guidance and you have more lots outstanding still?
Joel Rassman: Every one of our land acquisitions is individually assessed, and if we can find more ground, we’d love to have it if it meets our current underwriting standards, and I think if a deal pencils out well and it’s a good deal, we still do it. It’s not a matter of how many I sell this year if we have a good store we can open up, we’ll open up another good store.
 Dave Bogart – UBS: We’ve heard a couple builders say that they’re moving out of the high rise business in the last couple quarters and I was wondering if you guys are seeing more opportunities there than maybe what you saw six months or nine months ago?
Robert Toll: Not really. We just saw a two more opportunities in Manhattan, but we’ve been looking there for a year. We’ve got one going now. We haven’t seen any more come to us in Brooklyn. We’ve got five now cooking, two of them not started yet. We had four cooking and two not started yet, but we haven’t seen anything come to us. Queens we haven’t seen anything more. Hoboken we haven’t seen anything more, Chicago we sold one. So no, we don’t see a lot more coming to us.
 Dave Bogart – UBS: Are there any markets where you think that might be an opportunity to go pursue that you’re not building the high rise now?
Robert Toll: I really don’t. I think we’re in the high rise markets that we want to be in, not aware of others that we should be looking in. Chicago, we’re there. We’re doing some low rise and mid rise, and we have a deal cooking right now. I can’t say that it will come through, but it’s pretty close. As a matter of fact, we have two deals cooking in Chicago high rise. But that’s a market we’re already in. I don’t see Boston right now, but it may be in the future.
 Dave Bogart – UBS: Thank you.
Operator: We’ll take our next question from Nishu Sood - Deutsche Bank.
 Nishu Sood - Deutsche Bank: Thanks. First I just wanted to ask about the analogy that you used for the New York City market. Some might call the New York City market a super luxury market where most of your market is a traditional luxury product.
Robert Toll: I wouldn’t call it super luxury for those young buyers. It’s super expensive, I’m not sure it’s super luxury. Go ahead.
 Nishu Sood - Deutsche Bank: What are the parallels that you see in the New York City market that might apply to some of your more traditional communities and what are some of the differences you might see?
Robert Toll: Well, what I implied in the monologue was that here was a market that admittedly had not gone down to the extent that other average markets have in the United States, but that did go soft to some extent in the second half of ‘06 that now is roaring back. By implication, what I am saying is that you may find that traditional luxury markets come back faster than is expected, though I don’t mean to imply at all that it will be as rapid as the New York markets recovery was from its decline, that was minimal. But I’m making a statement that pent-up demand is such that when confidence returns, I think it will return possibly with a vengeance.
 Nishu Sood - Deutsche Bank: Right. The second question just following up on when you were responding to Steve Kim’s question, one of the functions there of things that happen during the boom was a lengthening of delivery times, regulatory delays, construction delays and that obviously you’ve seen in a lot of other builders’ results that have begun to reverse. In your case would you say that a lot of those issues are pretty much in the rear-view mirror now or are you still experiencing delays of one form or the other in any of your communities or projects?
Robert Toll: Of those that you mention, I would not suggest that because of the drop in the market that the regulatory agencies and planning and zoning boards, the elected agencies, if you will, have decided to go easier. I don’t see that, so no, don’t think there is any change in that regard.
 Nishu Sood - Deutsche Bank: What about on the just on the construction side of things?
Robert Toll: For us, construction is much longer average cycle time, is much longer than the average new homebuilder. Our average price is close to $700,000 and theirs, the other builders’ average price is $300,000 to $350,000. It probably takes us twice as long. We have had, yes, a decrease in the backlog. Obviously that’s a decrease in build out time for those orders that we now receive, but it doesn’t bring us down that much. I mean, you go from an average of 12 months down to an average of nine months. It’s hard for us to get much below nine months except for standard products that we do with high price in certain markets. But the ordinary product being as complicated as it is can’t be delivered in less than eight, nine months on average.
 Nishu Sood - Deutsche Bank: I’m not sure if I missed it, but did you give the breakout of the 67,000 lots optioned and owned?
Greg Ziegler: We have 41,500 owned which is about 62% of the land is owned.
 Nishu Sood - Deutsche Bank: Thank you.
Robert Toll: You’re welcome. We have a question from John Collier over the Internet. It says in parts of Florida there are a number of listings that is increasing as the selling season is underway. Yes. Is Toll seeing the number of existing houses for sale in its markets increasing? You know, I really don’t know. I have to get our Florida guys here. It hasn’t been reported to me, but I wouldn’t use that as an indication of yes or no. Is this having an impact on the ability of your customers to sell their houses and move into new Toll homes? If what you say is so, it certainly should if we’re dealing with a move-up market in Florida. To some extent we are. We have snowbirds even who have a home that want to move into a bigger one and sell theirs, so if what you say is true that would impact our market. Let’s stay on the Florida. I’ll volunteer that the Florida markets are very soft. The West Coast is especially soft. East coast seems to be coming back ever so slightly. Jacksonville is 75% of primary markets so it is not as impacted, but in general the Florida market is down, and I wouldn’t ascribe that primarily to existing homes being on the market or increasing as much as the confidence level and those who would like to move but don’t want to catch a falling knife. The second part of your question is how much of Toll’s mortgages are low dock and/or no dock? Do you guys know?
Unidentified Corporate Representative: We don’t know that. We do monitor sub-prime loans particularly that which is second loan because people can’t sell their houses, that’s a sub-prime. And that runs maybe 1% of our total deals, to one-and-a-half.
Operator: Your next question comes from Myron Caplan -.
Myron Caplan: I wanted to ask you if you would do your stellar review of markets.
Robert Toll: Well, we just did it two weeks ago, Myron, and there hasn’t been that much of a change. I would say basically things are pretty much the same. I’ve already volunteered those changes that California I think came off a notch, and I said that New York suburbs moved up and New York City is still strong as can be. Hoboken, Jersey City, are still outstanding markets. They’re pretty much the same as the last time around.
Myron Caplan: What’s the condition in DC?
Robert Toll: The condition in DC, I don’t know what we rated it. When we rated it, the Maryland part of the DC market is a B. The Washington DC, Virginia market is a D plus on average. Now, we’re heartened in that in certain weeks over the last four weeks -- and especially in this past week -- we had three sales in a community, four sales in a community, two sales in a bunch of communities, and that would indicate that the market is certainly not dying, neither is it dead. On the other hand, when we look at the number of communities that we have in Washington, we don’t see on a per community basis anywhere near what we would expect to see at this time of the year.
Operator: Your next question comes from Joel Locker - FTN Securities.
 Joel Locker - FTN Securities : Hi guys. I just wanted to see if you had an inventory breakdown between work and progress land in development and land not owned?
Robert Toll: I don’t have it now. You have got it, Joel?
 Joel Locker - FTN Securities : I guess while we wait on that, how much goodwill do you guys have left on the balance sheet?
Joel Rassman: A couple million dollars, maybe $3 million .
 Joel Locker - FTN Securities : Just $3 million?
Joel Rassman: Yes.
 Joel Locker - FTN Securities : On the customer deposits, what’s the easiest way to get that as a percentage of backlog if you look at the balance sheet? Like you have one line item.
Joel Rassman: The number of customer deposits is right in the financial statement. It’s in the range of 7.5% on average.
 Joel Locker - FTN Securities : I thought it was 8.3%. Can you just use the 344.7 million and divide that by the dollar backlog?
Joel Rassman: Yes. It is really the dollar backlog before the relief of percentage completion revenue.
 Joel Locker - FTN Securities : Before that. I got you. And did you guys get something?
Joel Rassman: Land development costs are about $2.1 billion and construction in progress is about $3.4 billion. Then there’s a bunch of sample homes and other things, and it will be in our release that will be out in a couple weeks. You can get all detail. That’s a big part of it.
 Joel Locker - FTN Securities : The other income guidance, just looking at it, it seems like it’s dropping off pretty far from the first quarter. Is that just implying the way you modeled it that there is going to be less cancellations going forward in the second half so keeping with customer deposits?
Joel Rassman: We had a sale of some assets for $9.5 million of profits in the quarter which we had given you in the guidance. Once you sell the assets you don’t repeat it every quarter so it comes off $9.5 million, and we also didn’t purchase as much ground as we had budgeted that increased the actual interest over our estimates significantly by a couple million dollars. I hope cancellations come down, so I’m not anticipating that we’ll continue to see the high cancellation.
 Joel Locker - FTN Securities : I guess the easiest way, what part of the $29 million was customer deposits that you kept?
Joel Rassman: A little over $9 million, maybe $9.5 million for this quarter.
Operator: Your next question comes from Kenneth Zener - Merrill Lynch.
 Kenneth Zener - Merrill Lynch : I have the inventory in Orlando and it went up 9% sequentially in January to 21,000 units which is now a record high, so does this Land Star, Joe, you just said $3 million in goodwill is what you have left?
Joel Rassman: But that wasn’t for Land Star. We have no goodwill in Land Star. That was allocated to the land acquisitions or amortizing intangibles.
 Kenneth Zener - Merrill Lynch : So you commented that a richer mix of deliveries contributed to the 340 basis point beat from that guidance in the first quarter, roughly $0.13. What was the regional mix? Was it less Florida or was it better pricing in specs?
Joel Rassman: It was a little less Florida because cancellations were higher, and a little less on some of the communities that had lower margin than we had originally expected.
 Kenneth Zener - Merrill Lynch : Because it was a richer mix in the first quarter, given your increasing expectations for margins relative to what you were at in December, when or why won’t we see the dilution from these remaining deliveries in ‘07?
Joel Rassman: Well, we try to estimate actual closings at a backlog projected closings for things that may not yet be in backlog quarter by quarter and that’s why I give you guidance on cost of sales, and if you noted, we’ve improved the guidance on cost of sales as we’ve been able to basically get prices probably a little higher than we thought we may have to give and less incentives.
 Kenneth Zener - Merrill Lynch : What is the benefit you expect to get in 2007 based on your roughly $176 million in charges taken to assets not options over the last four quarters? You’ve taken roughly $176 million in charges for assets, not options, over the last four quarters. How much of that for example $100 million, will benefit your 2007 costs?
Joel Rassman: I don’t know.
 Kenneth Zener - Merrill Lynch : Do you think it’s roughly half like it’s been with other builders?
Joel Rassman: Many of our communities run three to seven years, and you would expect to see it amortized over three to seven years but if I had margins in those community, I wouldn’t be having a write off.
Robert Toll: I would suggest that you’re not going to see the benefit as you put it or the accounting results more accurately stated for a couple of years because obviously we’re taking writedowns in our communities, impairments in communities that are not working well. But as you strike it down and continue to do business, the benefit should show up in the out years. I’m sure that isn’t ‘07 depending upon the market. It could be ‘08.
 Kenneth Zener - Merrill Lynch : Then my last question, if you look past the current downturn, as you move into new markets that are not land constrained, can you quantify the change in profitability you’re expecting? Because you guys are going to be selling lands that I guess by the fall, and what are your margins expectations for these new markets, where there is an absence of a long land position and land appreciation relative to your past? So is there going to be 300, 400 basis points less in gross margin in these newer markets?
Robert Toll: In general we don’t move in the markets that are not land constrained. That’s one of the models that we pretty much stick by. Except for Texas. Guys have you got any answer for this question? No.
Operator: Your next question comes from Dan Oppenheim - Banc of America Securities.
Dan Oppenheim - Banc Of America Securities: Thanks very much. I was wondering about your comments that you didn't see the typical uptick that you see on sales and traffic over the President's Day weekend this year versus others. Can you talk about your sales year over year for this weekend?
 Robert Toll : This year on a gross basis, we did 276, these are deposits. Last year we did 293. However, on a per community basis, which is the same-store analysis, we did 0.85 versus 1.11. So that gives you a pretty good indication.
Dan Oppenheim - Banc Of America Securities: Two things related to cancellations. One, if we look at your closing guidance over the next couple of quarters, looks relatively wide or we wouldn't expect to see construction delays. So, wondering if that is just driven by an expectation that the high cancellations continue? Secondly related to cancellations, previously you talked about a lot of cancellations coming from the Orlando market, I think that was in the fourth quarter. If we exclude Orlando, have you seen your cancellation rate coming down?
 Robert Toll : In Orlando, I think we said on our last conference call we had also seen our cancellations improving a little. In most markets, other than Northern California, I think we had commented last time, cancellations were coming down.
Dan Oppenheim - Banc Of America Securities: On the closings, is that expectation that cancellations stay somewhat elevated?
 Robert Toll : On the closings, it's the uncertainty that I have as to which quarter something will close on. Because, if there's problems coordinating the selling of a house, for example, with the closing of the person’s house to sell, that can move between quarters and there's more likelihood that happens in this market than it did in the past.
Dan Oppenheim - Banc Of America Securities: Thanks very much.
 Robert Toll : You're welcome. Cecilia, we have a question over the Internet from Steven Donahue. Market conditions. Mr. Toll, so far new home builders like Toll Brothers have been able to generate continuing sales by offering incentives and price reductions, which have generally kept new homes a better bargain for purchasers than resale homes. Well, thank you very much for that, Steven. How will your projections be affected if there is a substantial across the board break in the price of resale homes? I guess what you're saying, what will happen if resale prices go down to a greater extent than anybody believes will happen? It's kind of a rhetorical question, Steven. I think you've answered it. If the market busts, the market will bust. We don't see that. Thank you, Steven. Cecilia?
Operator: Your next question comes from Carl Reichardt - Wachovia Securities.
 Carl Reichardt - Wachovia Securities : Bob, I have a broader question about price versus absorptions. You talked about confidence and the return of it. I mean, if we look at consumer confidence is okay and the percentage of people that think it's a good time to buy in the University of Michigan survey is improving a lot, traffic is okay. I'm trying to figure out if the real issue isn't confidence, but price; and specifically, your prices? I mean your absorptions are down a lot year on year per store and two years ago. At what point do we get when you start to sacrifice price to improve those absorptions? If we don't get a pickup of absorptions, isn't that going to lead to more substantial writedowns for you in particular, on the long build out communities?
 Robert Toll : If it gets worse, you would have writedowns. If it stays the same, we've done our best, we believe, we've tried our hardest to write-off everything that we're aware of that we believe should be written-off. So if things stay the same you shouldn't see inordinate writedowns. If things get worse, you should see greater writedowns. With respect to, when are we going to switch our mode from looking for the margin rather than looking for the action, not for a long time to come. We said in the monologue, our leverage is down at 33-point something. We're sitting on $1.5 billion available cash, we're not unhappy with that position. We're having a rotten year. Naturally, falling right out of the drop in sales in '06 as you deliver them in '07 we had projected that we'll end up making $270 million, approximately.
 Joel Rassman : Middle of the range.
 Robert Toll : That's the middle of the range. Thank you Joel. I'm reminded that in '03 we made $260 million. It went up to $400 million in '04 and '05 it went to $800 million, in '06 it went back to roughly $700 million and now down to $270 million, so we're back to where we were in '03. I'm reminded that in '88 a long time ago in a distant galaxy, we made $24 million. '89 we were down to $13 million, '90, $10 million, '91, $5 million, '92, $16.5 million, '93, $28 million. So that was a longer cycle than this. Hopefully, if we watch our business and are diligent and continue to operate the way we have, we can see the same return. No promise of course, read your prospectus. But we're pretty happy with the model that we've got, and are not going to look to shed the real estate to do the volume business because we believe the business we're in, which is luxury homes, is 100% dependent on having the right locations and the right pieces of ground. We think we've got them. We're not going to give them away just in order to do volume.
 Carl Reichardt - Wachovia Securities : Okay. Makes sense.
 Robert Toll : Sorry for that long answer.
 Carl Reichardt - Wachovia Securities : No. Sorry for the long question. If we look at the longer build-out communities, you're effectively modeling the same absorptions that you've projected for those would be relatively consistent with current conditions. So that, even on the fixed cost build underneath those, which would be substantial in the long build out at slow absorptions, you're still comfortable where you are now, in terms of the write-downs. And unless those absorptions change to the negative you feel comfortable where you are. Is that kind of the right paraphrase?
 Robert Toll : It sounds right. But, let me give that one to Joel.
 Joel Rassman : No. It's not 100% right. We do not assume that if you're not selling a house in Reno you're never going to sell a house in Reno. That would be a silly assumption. At least we think so. We have built in long periods of down time and then very modest increases in pace after a year, two or three and never getting to paces that we had before.
 Carl Reichardt - Wachovia Securities : Okay. Good. That's perfect. Thanks so much, guys, appreciate it.
 Robert Toll : You're welcome.
Operator: Your next question comes from Wayne Cooperman - Cobalt Capital.
 Wayne Cooperman - Cobalt Capital: Hey, guys. Just a question on the write-offs on the options, how much of that is just an accounting adjustment and how many have you actually walked away from or in cases where you still have the option, just wrote down the value?
 Joel Rassman : I don't have that in front of me.
 Robert Toll : I thought you already answered that.
 Joel Rassman : No. No.
 Robert Toll : How much was impairment?
 Joel Rassman : He didn't want that.
 Wayne Cooperman - Cobalt Capital: I just wondered if you walked away from options or still have the options, you just wrote-off the value on the balance sheet?
 Joel Rassman : We have not walked away from all of the options we've taken writedowns on.
 Wayne Cooperman - Cobalt Capital: You have or have not?
 Joel Rassman : Not.
 Wayne Cooperman - Cobalt Capital: Right. Do you have that number or you don't have that?
 Joel Rassman : No, we do not.
 Wayne Cooperman - Cobalt Capital: Thanks.
 Joel Rassman : You're welcome.
 Robert Toll : Cecilia, I have a question from Jason Norbeck. The subject is homeowners insurance. In your opinion, have the current issues with homeowners insurance in the coastal areas impacted your business? If so, to what extent? The answer is yes and I don't know. I would think, naturally, the homeowners insurance increase has got to have impacted Florida sales, but I have no quantification that I can fall back on, so I just don't know. Cecelia?
Operator: Your next question comes from Alex Barron - JMP Securities.
 Alex Barron - JMP Securities: I wanted to ask you how many communities were written down this quarter associated with the $83 million? How many lot options associated with the $13.9 million?
 Joel Rassman : We are not going to go through individual communities, it would be misleading. Some had big numbers and some had small numbers, and it would be misleading to do so unless I went through all the detail, and so I'd really rather not do that. Some were thousands of dollars and some had multi-millions.
 Alex Barron - JMP Securities: How about for last year? How many communities did you writedown last year?
 Joel Rassman : I don't know. I apologize to you, I really don't have that detail. It's not something we track.
 Alex Barron - JMP Securities: My second question is, I know you said you didn't have any goodwill associated with Land Star. But like what rough kind of premium have your guys written down to some extent or not at all?
 Joel Rassman : We never had a goodwill allocation for Land Star. We believed that the majority of the value was attributable to actual land that we acquired, options that we acquired, and therefore it got allocated to that land or those options, and there were a little bit of intangibles to employees and some other things that get amortized over time. So there is no goodwill on that deal.
 Robert Toll : But have you written down any land that we acquired?
 Joel Rassman : Yes, we did writedown land we acquired in the Land Star acquisition.
 Alex Barron - JMP Securities: Okay. All right. That's all I got for now. Thanks.
Operator: Your next question comes from Timothy Jones - Wasserman and Associates.
 Timothy Jones - Wasserman and Associates: I was pulled off the phone twice, never give up an order. I think you'd agree with that. Anyways, the land impairments, that was the one that Joel was going over, it was $83 million for this quarter. Do you have what it is last year so I can just see how much total land you've done?
 Robert Toll : You mean a year ago?
 Timothy Jones - Wasserman and Associates: No, no. The last fiscal year, so I can add the $83 million on to that to get a total number.
 Joel Rassman : $61 million for land impairment last year.
 Timothy Jones - Wasserman and Associates: $61 million plus $83 million?
 Joel Rassman : That's it.
 Timothy Jones - Wasserman and Associates: Now, the way you were doing this accounting though, it is not taking into effect for inflation. I went through it with you, Joel, offline, and I don't understand why, with any kind of turnaround that you could pick up a lot of this with $145 million back into future profits.
 Joel Rassman : To the extent we sell houses that aren't making the earnings, they're not going to be in profits. If I use Detroit as an example. Where I've taken a writedown in Detroit, I will expect that I will be absorbing that inventory and not have a significant amount of profits in Detroit.
 Timothy Jones - Wasserman and Associates: Detroit's a different market, Joel. I mean, most markets, I mean you're not looking at what's happened in Detroit.
 Joel Rassman : Even in Florida, where I may have taken writedowns in the Florida communities to the extent I sell those homes before those markets recover I will not see that as additional margins, I will see some small margins from the sales.
 Timothy Jones - Wasserman and Associates: Last question is, your 6,000 or 7,000 units how do you handle on the percentage? Does that include the percentage of accounting units, or how do you handle that? It's kind of strange here, but you've only got like 57 million remaining from your last year buyback, don't those units have to be counted some time?
 Robert Toll : I'm sorry. I don't understand the question.
 Joel Rassman : Could you repeat it? Tim, I'm sorry.
 Timothy Jones - Wasserman and Associates: Sure. In other words, Joel, you show very little right now in your delivery from the percentage of completion units. But a year ago, you only had 57 million left to be recognized. Once these units are completed, don't you have to throw them into your unit number of 6,000 or 7,000?
 Joel Rassman : When a building is treated as a percentage of completion building, even if the unit closes after the building is completed, it still falls into the percentage of completion column for recording, and buildings that aren't treated as percentage of completion are treated as traditional houses when they close.
 Timothy Jones - Wasserman and Associates: A different way. The 6.000 to 7,000 units, is that just traditional houses or does it include a percentage of completion?
 Joel Rassman : It does not include percentage of completion. In addition to that, we will have hundreds of houses that will be completed and delivered where I've already recognized the revenues over the next two years.
 Timothy Jones - Wasserman and Associates: I understand that. Thank you so much.
Operator: Your final question comes from Steve Fockens - Lehman Brothers.
 Steve Fockens - Lehman Brothers: First, over the last two or three quarters, what would incentives as a percentage of sales price look like relative to not necessarily '04/'05 which I would guess were quite low, but more your long-term average?
 Joel Rassman : I don't know that, but I think we told you that it was roughly $30,000 a house on average. $31,000 a house is roughly what we're offering incentives across the board if you looked at it. Some, obviously, that includes incentives on specs and other things and that's total.
 Steve Fockens - Lehman Brothers: How would that compare to three or four years ago? Any rough idea?
 Robert Toll : Three or four years ago? How about zero.
 Steve Fockens - Lehman Brothers: Well, okay, maybe I should say, average of the last ten?
 Robert Toll : Pretty close to zero if you wipe out the last year-and-a-half.
 Joel Rassman : Probably 1% or 2% because you would have concessions in a budget and then you would have a higher sales price and maybe do some negotiation.
 Robert Toll : I’ll come and buy from you.
 Steve Fockens - Lehman Brothers: Secondly, on the private builders, who I would guess are more your competition than other publics, are you seeing any of those at an increasing rate coming to you and saying, hey, we've got land for sale, or we're in some trouble, want to help us out? Or are you going to more of them and finding them receptive to selling you land or is it too early to see if that's going to happen or not?
 Robert Toll : It's the former. We've had some come to us, some old friends and say, we'd like to be helped out of some of our land.
 Steve Fockens - Lehman Brothers: Fair enough. Thanks very much.
 Robert Toll : You're very welcome. Cecilia, is that it?
Operator: That does conclude the question-and-answer session. I'd like to turn it back over to you for any additional or closing remarks.
 Robert Toll : Thank you very much, everybody. I look forward to speaking to you in a couple of months.